Operator: Good afternoon. Thank you for joining today's call. With me today are George Colony, Forrester's Chairman of the Board and CEO; Carrie Johnson, Forrester's Chief Research Officer and Scott Chouinard, Forrester's Interim Chief Financial Officer and Treasurer. George will open the call. Carrie will follow George to provide a product update then Scott will discuss our financials. We will then open the call to Q&A. Kelley Hippler, Forrester's Chief Sales Officer will be joining the Q&A portion of the call. A replay of this call will be available until August 28, 2021, and can be accessed by dialing (855) 859-2056 or (404) 537-3406. Please reference the conference ID 7684089. Before we begin, I'd like to remind you that this call will contain forward-looking statements within the meanings of the Private Securities Litigation Reform Act of 1995. Words such as expects, believes, anticipates, intends, plans, estimates or similar expressions are intended to identify these forward-looking statements. These statements are based on the Company's current plans and expectations and involve risk and uncertainties that could cause future activities and results of operations to be materially different from those set forth in the forward-looking statements. Some of the important factors that could cause actual results to differ are discussed in our reports and filings with the Securities and Exchange Commission. The company undertakes no obligation to update publicly any forward-looking statements whether as a result of new information, future events or otherwise. I'll now like to hand the call over to George Colony.
George Colony: Welcome to Forrester's 2021 Q2 Investor Call. I am here with Carrie Johnson, Forrester's Chief Research and Product Officer and Scott Chouinard Forrester's Interim CFO. The three of us will give brief remarks. We will then be joined by Kelley Hippler, Forrester's Chief Sales Officer, and the four of us will then take questions. The momentum of the last three quarters continued into Q2. Forrester's focused on growing contract value and its customer obsessed content is producing strong financial performance. In the second quarter contract value grew $26 million to $320 million and 9% year-over-year growth rate, Revenue accelerated across research, consulting and events. We have generated $70 million of cash in the first half of 2021. And that's more than the company has produced in any previous full year. We are into $0.66 in the quarter, beating the top end of guidance by $0.08 and revenue grew 30% to $128.7 million exceeding the top end of our guidance. Our clients count, wallet retention and client retention all showed strong growth as we continue to win back clients loss during the pandemic. As a result of our performance in Q2 in the first half of the year. We are raising guidance for the second time this year and Scott will go into more detail in his financial update. Forrester is building an economic model which will drive shareholder value. In this model, we are one increasing contract value, which two, generates more cash, which three, we then invest in sales, product and acquisitions. Improving our go-to-market structure and products will grow our contract value, repeating the cycle and driving the model forward. Now several factors are contributing to the growth of CV. Client retention rates are increasing moving up to 77% for the quarter. That's our third consecutive quarter of increase. Wallet retention moved to 96%, 7 points over Q1 of this year. New business showed strong growth in the quarter. We now have 2,940 clients and that's up 280 clients year-over-year. And finally price increases set in January of this year are being realized. So CV growth is contributing to the strong cash generation in the first half of 2021 more CV equals more cash. We deployed some of that cash to increase training in our sales force in the second quarter. And it will fund the expansion of the sales force in the second half of the year, preparing the company for the 2022 plan. Additionally, we have increased investment in marketing, extending our demand waterfall, advertising spend and client experience programs. Our cash has also being deployed to improve our CV products into launch new CV products. Forrester’s research organization double down on producing content to help companies advance on their customer obsessed journey. And this is all the more important as the pandemic accelerated the demands of consumers, Key reports like the state of customer obsession, help our clients understand their current state and provide best practices. We've also produced new frameworks, competitive benchmarks and models to help leaders and their teams execute on their vision with a number of critical reports, such as the trust imperative, don't miss your anywhere work opportunity, and hot desks or ice cold employee experiences. At B2B Summit in May, we debuted our next generation B2B revenue waterfall, which helps firms accelerate opportunities and revenue in their sales pipelines. We're using our cash to launch Forrester Decisions. As I explained on the Q1 call, this new portfolio of 15 research services will serve functional leaders and their teams. It brings the best of Forrester’s vision and strategy research together with SiriusDecisions operational research. The clients want one research source that can help them see the future and execute their strategy. And they want one source for understanding our technology and business are best combined and connected. We've spent more than a year working with our clients to design and build Forrester Decisions. It will become our flagship research product over the next two years, as clients upgrade from the legacy forester and SiriusDecisions portfolios. This new product will enable us to push wider and deeper within our client accounts and become stickier, which will lead to higher wallet retention. There's a lot of excitement in the company and in our client base around the launch of this new CV product and Carrie Johnson will go into more details in a few moments. We are also investing in another CV business, FeedbackNow. Our startup real time customer experience measurement and operations solution. The five primary markets for this technology are retail, hospitality, infrastructure, mainly airports, headquarters and healthcare. We are currently installed in 70 airports worldwide, including New York Kennedy, and the airports of Paris, Geneva, Milan and Rome. We are currently rolling out our cutting edge touchless devices. And we are piloting FeedbackNow factors an open platform, which combines real time CX data with other data sources such as weather, traffic, flight delays and foot traffic. FeedbackNow factors will deploy AI technology to enable clients to predict CX problems before they happen. The final use of cash is acquisitions. They have no news to report today, I can say that the company remains aggressive and active on the M&A front with multiple targets on our radar. Acquisitions are focused in three areas, new contract value products, as with FeedbackNow improved geographical coverage, as with Springboard Research in Asia, and the ability to serve more personas within large companies as with SiriusDecisions. Well, I see the growth engine is accelerating our non-CV businesses consulting events are also thriving. These businesses are critical to CV growth. Clients to consult with Forrester are 15% more likely to renew their CV contracts. And prospects that attended events convert to become clients at 14%. higher rates. Forrester’s consulting organization posted an exceptional quarter with 22% growth year-over -year. We continue to see the global reach of our practice expanding with our international markets posting their highest bookings quarter ever. Among the exciting new engagements are a five-year deal with a global services firm to conduct a longitudinal market study in China and a contract with the European pharmaceutical firm to lead a full scale CX transformation, including workstreams across CX, marketing and technology. In Q2, we saw continued strong demand for our content marketing programs, which drive lead generation for tech companies. The service has expanded rapidly during the pandemic is B2B technology providers have thought new marketing channels to replace events and face-to-face sales meetings. Turning now to our events business. We have three virtual events in Q2. B2B Summit North America, CX Asia Pacific and CX North America. The B2B Summit and CX North America are the company's two largest events of the year. Well, the three events were virtual, both sponsorship and attendance grew across the entire events portfolio. Growth in sponsorship is an important bellwether to the overall health of our events business. Sponsors are now more comfortable in a virtual setting and they're prepared to spend marketing dollars to connect to prospects digitally. This is a good harbinger for hybrid events in Q4 and also in 2022. B2B seller revenue grew 32% year-over-year and both sponsorship and attendance showed strong performance, with our audience growing by 40%. Now before turning the call over to Carrie, I wanted to discuss our commitment to advancing our environmental, social and governance goals. On the environmental front, we continue to manage our new office locations with recycled demolition materials and recycled build-outs and furniture. Well, not all of our locations worldwide are lead certified, we are managing to the highest standards attainable given the locations. We are also looking to operate with low impact. And as an example, our new anywhere work policies will take more commuters off the road and out of their CO2 producing vehicles. Socially, we continue to move forward especially in the diversity and inclusion front. As a research company, it is essential that we tap into many viewpoints and backgrounds. The quality of our work depends on a broad and full view of society, business, sellers and buyers. We recently completed a DNI assessment across our global offices to understand where we should focus our work. Over the next few years, our key priority areas to invest DNI include increasing representation across race, ethnicity, gender, sexual orientation, age and ability, as well as engaging employees through inclusion training. We can and will do more on all of the ESG fronts. As mentioned during our Q1 call, we updated our website where you can find more detail on Forrester's ESG work. I'll conclude my remarks by saying that this is a very exciting time at Forrester. Our CV growth engine is coming up to speed. Our financial performance is solid. We are increasing guidance for the year. And we are launching a new core research product that will bring unprecedented value to our clients. I'm very proud of the people the Forrester have accomplished over the last 18 months despite the challenges of the pandemic. They remained focused on clients. they've stayed bolded on the offense, they have used technology to collaborate and create powerful teams, and they have innovated and stayed agile. This has truly been our finest hour. And with that, I'll turn the call over to Carrie Johnson, Forrester’s Chief Research and Product Officer. Carrie.
Carrie Johnson: Thank you, George. I'm excited today to share the incredible value that our new product portfolio Forrester Decisions will deliver to clients, and then how we will accelerate our ability to deliver double-digit CV growth for Forrester. Forrester Decisions is designed for our customers and by our customers. Following the acquisition of SiriusDecisions, we spoke with hundreds of Forrester and Sirius clients. What we heard is that they wanted a simpler way of buying from an engaging with us as they chart their paths to customer obsession. As George mentioned, our clients want one product that brings together the vision research or Forrester and the execution frameworks of Sirius, as well as the valuable elements of Forrester’s other products like analytics and certification. These conversations led to the creation of Forrester Decisions an entirely new unified product offering. Forrester Decisions is a portfolio of 15 standardized research services tailored to the most critical priorities of senior leaders and their teams in technology, marketing, customer experience, sales and product functions. With each Forrester Decision service, customers get access to our bold vision research, curated tools and frameworks, and then extended time with our analysts to apply research to their context. The Forrester decisions services are packed with new, bold calls on the future frameworks and models to run functions, and also brand new benchmarking data. And we didn't stop there. We're also launching an entirely new digital platform for all Forester’s customers that will transform their ability to get personalized insights and increased speed to value from us. No other research firm delivers this combination of vision, strategy and execution together in this way. The product and the platform will save our clients time, money and empower them and their teams to deliver results. We believe this will transform the dynamics of Forrester’s CV business propel our CV growth in three important ways. Number one pipeline velocity. The Forrester Decisions product will be significantly easier to both buy and sell. By tailoring each service to our key target audiences and their priorities. Our sales teams can more quickly direct-to-customers to the right product for them, resulting in higher conversion rates in less time. Number two higher wallet retention. Forrester Decisions frameworks and tools make it a sticky research product. Our clients will run on Forrester and it will be very difficult to unplug these services. The availability of 15 services gives our account teams a clear roadmap for cross-sell growth within existing accounts. And the number three expansion of multiyear deals. The nature of the Forrester Decisions product and its value a Forrester being by the side of our clients to execute their most important priorities will result in longer term client contracts. Priorities are not a single-year commitment or achievement, and the Forrester sales team will lead with multiyear deals to ensure that we are able to deliver meaningful outcomes for our clients and their organizations. Forrester is aligned across all product, research, sales, technology and marketing to deliver on Forrester Decisions. We've created and are delivering Forrester Decisions to the market with record levels of both speed and conviction. Our sales teams are excited to sell Forrester Decisions, and they're already receiving very strong indicators of client interest. I'm grateful to the Forrester teams that have spent the last 18 months working tirelessly to create the future for Forrester, for our clients and to set a new model for best-in-class in the research industry. And of course to the customers that have lent their time to this effort as well. We have put customers in our brand promise to be by your side and on your side at the center of this product design and experience delivery, creating limitless opportunity for Forrester’s growth and success. I'll now turn the call over to Scott.
Scott Chouinard: Thanks, Carrie. I'll never review Forrester’s financial performance for the second quarter, our quarterly metrics and our guidance for the third quarter and full year 2021. Please note that the income statement figures we review on this call are non-GAAP results, which we refer to as adjusted results. We have provided a reconciliation of our GAAP results to our adjusted results in our press release that we issued today. As George mentioned, we had a great quarter with CV growth of 9%. And we delivered revenue, operating margin and earnings per share that exceeded the upper end of our guidance. Revenue growth was strong versus Q2 of last year with overall revenues up 13% driven by strong revenue increases across research, which is our CV business consulting and events. Currency rates improved our revenue growth by about 2 percentage points compared to the prior year. We continue to see momentum in the business with demand for our research services showing in the 9% CV growth, consulting revenues outperforming expectations in the very successful execution of our two flagship events, the B2B Summit and CX North America during the quarter. We continue to generate significant cash flow with the operating cash flow of [$17 million] for the first six months of 2021 being a record for any period in Forrester’s history, and we use $2.7 million of this cash to start buying our shares during the quarter. Overall, we have seen the momentum in the business continue in the second quarter and are confident in our performance for the remainder of the year, resulting in us raising guidance for revenue, operating margin and EPS, which I will describe in a few minutes. And as we discussed on our last call, we are reporting a new set of metrics this year. And I've published these metrics going back to the first quarter of 2019 on the Investor Relations section of our website. Now let me spend a few minutes explaining these metrics, with the overall concept being that our metrics are now based on our contract value products. So contract value or CV, this is the measure of the annualized value of our recurring research products. This is predominantly made up of our subscription research products. We also include reprint products in CV as these products include a subscription component are used throughout the year by our clients and are typically renewed. We show the CV metric on a currency neutral basis. Wallet retention measures how much of our CV that we retained from the prior year, which includes gains from expanding the relationship with clients that we retained and losses from client attrition. And client count includes all clients that purchase CV product and the vast majority of these clients have a subscription research relationship with us. Turning to the results for the quarter, research revenues were up 8% compared to the second quarter of 2020. CV growth was 9% compared to Q2 of 2020. And we have seen four straight quarters of sequential growth in CV with growth in CV accelerating during the second quarter. Similar to CV, we have experienced a sequential upward trend in wallet and client retention from a low in Q3 of last year and client count has increased steadily from Q3 of last year. Consulting revenue was a primary driver of our revenue beat this quarter with 22% growth compared to the prior year with strength in both our content marketing and strategy offerings. This represents three consecutive quarters of double-digit growth in consulting revenue. Event revenue increased 33% compared to the second quarter of 2020 driven by increased sponsorship revenue, as sponsors continued to see the value in our virtual events. Operating expenses for the second quarter increased by 15% driven by the reinstatement of annual bonuses compared to the second quarter of 2020 in merit increases and higher professional services. Ending headcount was down 7% compared to the second quarter of 2020. Operating income increased by 3% to $19.7 million or 15.3% of revenue in the current quarter, compared to $19.2 million or 16.9% of revenue in the second quarter of 2020. Interest expense for the quarter was $1.1 million as compared to $1.3 million in the second quarter of 2020 due to reduce debt levels, And net income was up 4% and EPS increased by 2% compared to Q2 of last year, with net income coming in at $12.7 million and earnings per share at $0.66 in the current quarter, compared with net income of $12.2 million in earnings per share of $0.65 in the second quarter of 2020. Cash flow from operating activities was $29.5 million for the quarter and $70.1 million for the first six months of 2021. The $70.1 million of cash flow represents an increase of 180% from the prior period. And CapEx was $3.8 million for the quarter and $5.2 million for the six months. And we ended the quarter with over $146 million of cash on the balance sheet. So in summary, we had a great quarter with CV growth, revenue and earnings that exceeded our expectations. Our client count and retention metrics continue to trend upwards, and our cash flow was at a record level. In addition, we began to use our cash to buy back our stock and plan to continue to buy opportunistically as the year progresses. Our products and engagement model are resonating with our clients. And the introduction of force to decisions should deepen that relationship lead to further increases in wallet retention and will be a key driver in achieving our goal of sustained double-digit CV growth. While there are headwinds that we face with the pandemic attrition in a difficult hiring environment, we feel confident in achieving our goals for 2021 and beyond. And then regards to our 2021 guidance, first a few words on our second half events. Q3 is a light events quarter for us and those events are planned to be virtual. The majority of our Q4 events are being planned for a hybrid experience, which will be a mix of in person and virtual experiences. And this of course, will be subject to the local conditions once we get closer to those events. Now we have raised our full year revenue guidance by $12 million or 3% and full year EPS guidance by $0.17 or 10%. We have provided guidance on a GAAP basis and listed the items excluded from our adjusted guidance in our press release in 8-K filed today. Our third quarter guidance on an adjusted basis is as follows. Revenues of $114 million to $118 million, operating margin of 6% to 8% and effective tax rate of 31% and diluted earnings per share of $0.22 to $0.28. Our full year 2021 guidance on an adjusted basis is as follows. Revenues of $485 million to $495 million, operating margin of 11% to 12% and effective tax rate of 31% and diluted earnings per share of $1.75 to $1.85. I'm so proud of the work that all of our employees have done throughout the pandemic from passionately serving our clients to being great teammates and supporting each other and developing and launching force to decision and in achieving the financial performance that we reported today. Thank you very much for joining us. And I will now turn the call over to the operator for the Q&A portion of the call.
Operator: Thank you. [Operator Instructions] Please stand by while we compile the Q&A roster. Our first question comes from Andrew Nicholas with William Blair. You may proceed with your question.
Andrew Nicholas: Hi, thank you for taking my questions. And good afternoon. The first question I had was just with respect to Q2 results looking back sounds like consulting was the main area that surprised to the upside for you. But if you could maybe break that down a little bit further into where you're seeing strength specifically within that debt line item and maybe clarify if I misheard you in terms of what the upside was in the second quarter specifically?
Scott Chouinard: Hey, Andrew, this is Scott. Thanks for the question. Yes you're right, we did surprise on the upside with consulting and what was good this quarter, as we saw strengthen both the content marketing, which has been strong for us for a while. And we also saw some nice strength with the strategy consultant -- consulting offering that we have, so is good kind of across the board from a geographic standpoint and also from an offering standpoint.
Andrew Nicholas: Got it. Thank you. And then maybe as a follow up to that. Looking at third quarter expectations, I guess I'm -- given what was really, really strong CV growth at least relative to what I had expected. I guess I'm curious what your expectations are for consulting and events in the third quarter because I guess I'm just surprised that the third quarter revenue guide is a little bit higher, given the sequential increase are the sixth sequential step up in CV. So if there's any other factors that you could kind of call out? I don't know if it's a sequential step down and consulting given the strong quarter or what but just breaking that down one step further would be helpful?
Scott Chouinard: Sure, when you think about the revenue streams, events, as I was saying, the light quarter first, so minimal revenue there's the two events, they're two of our smaller events. So that revenue certainly stepped down significantly from Q2. And for consulting, during the summer months, it's always one of the lower quarters of revenue for us. So here we're seeing a potential step down in consulting revenue. And then on the research line, yes the CV growth is providing sequential revenue growth in the third quarter. But if you recall, a portion of our research revenue growth comes from the event entitlement in our subscription product. So that steps down, because there are fewer events in the third quarter.
Andrew Nicholas: Got it. You know that makes sense. And then maybe if I could just squeeze one more in on capital allocation plans, sounds like you were a little bit more active on the share repurchase front than you have been in some time. Could you help us size not only what the repurchase activity was in the quarter, because I missed that, but also, just how big of a percentage or portion of your capital allocation plans that will become going forward? That would be great. Thanks, again.
Scott Chouinard: Sure. So we repurchase $2.7 million in the quarter. And as we said on the call, we plan to be opportunistic with future buys. You know, that being said, we had our Board Meeting yesterday, and there's still a fair amount of discussion on future capital allocation. But there is a commitment to certain level of repurchases going forward again being opportunistic with stock price. So, no firm commitment there, we still have over $50 million left on our repurchase authorization. So we have capacity there and we have capacity with our covenants. So, we have a few options for the second half. And we need to look at that strategically based upon what we want to do from an acquisition standpoint or debt pay down standpoint or kind of level of future purchases.
George Colony: Andrew, George here. We think we're undervalued as a company. So we are going to be a [indiscernible] opportunistic in buybacks that's one. Two, the first place capital goes in our company is to build the business, especially to build the CV growth engine. So priority one will be internal investment. Thank you.
Andrew Nicholas: Thank you.
Operator: Thank you. And our next question comes from Vincent Colicchio with Barrington Research. You may proceed with your question.
Vincent Colicchio: Congrats on a good quarter guys. Few for me, so did bookings on the CV side improve as the quarter progressed, [indiscernible] a sense for momentum, and then as the sales pipeline on the CV side, higher now than it was at the beginning of the quarter?
Kelley Hippler: Thanks, Vincent. This is Kelley Hippler here. So in terms of bookings momentum, we actually had a strong quarter consistently across all three months of the quarter. So basically, we started seeing momentum pickup last December, and it's really continued to increase considerably and lead to the results we saw in Q2. And while we are early in the quarter, we're pleased with what we're seeing from a Q3 pipeline perspective, especially with the launch of Forrester Decisions, we do believe that that's going to lead to strong pipeline growth in the quarter for this quarter as well as Q4.
Vincent Colicchio: And George you had mentioned that some of the new clients that some of your old clients return in the quarter, how does that break down in terms of the client growth? The return of old clients versus new clients?
George Colony: Yes I'll give an imprecise answer. And then Kelley will give you the [indiscernible] answer. It was basically it's really half Forrester and a half SiriusDecisions. We look probably a little bit more in the SiriusDecisions side. And with that, I'll give it back to Kelley.
Kelley Hippler: Great, thank you, George. So we did have win back programs that are ongoing with both of our selling motions, our premier user organization, as well as our core selling organization. So definitely split 50/50 on the results side there. But what's great Vincent is we're seeing some of the larger retailers and automotive companies that we lost last year due to the pandemic coming back now that their businesses are starting to come back, which is very encouraging. And that premiere user program already hit its target that we gave them for the year. So we doubled it for the second half. And I think as momentum continues to pick up and with the new Forrester Decisions offering we'll continue to see more of our clients looking to reengage with us.
Vincent Colicchio: It looks like you're being impacted by the tight labor market, I think you mentioned will that change your initial goal for the salespeople you hope to have in place by the end of the year? And how will do you think wage inflation is going to be meaningful here in the second half? 
Kelley Hippler: Well, I would say Vincent, similar to other companies, we are facing some talent acquisition and retention challenges, but we are hiring very aggressively and actively working to backfill positions for -- so that we can be ramped up and ready to go for next year. One of the things that we've been doing is expanding the geographies within which we are seeking our employee population, which is helping to keep wages in line with our expectations. Right now, we did expect there to be a spike in attrition just based on pent up demand last year. So nothing that will impact our ability to get to our targets for 2021. But we do want to actively continue to hire so that we can hit our 2022 targets. But this is also getting us to continue to think about and invest in technologies that can help our existing sales force to be more productive as well. So I think as you've known, we sort of have done in parallel investing in the sales organization, but also building the infrastructure around our existing folks to help them to be more productive and to make it easier for them to get to their targets. And we'll continue to take that balanced approach as we head into 2022 as well.
Vincent Colicchio: Okay. I will go back in the queue. Again, nice quarter.
Kelley Hippler: Thank you.
George Colony: Thank you Vincent. [indiscernible] a little bit more than the last question we have two advantages. One is, our tech has been fantastic for people working anywhere. And so that's enabling as Kelley said today, we have to hire anywhere. And also we're going into a flex work. Our plan we [indiscernible] which means three days, flex in two days in the office. So a lot of flexibility there is helping us in the labor markets. But this is a crazy labor market. Thanks for the questions.
Vincent Colicchio: You’re welcome.
Operator: Thank you. [Operator Instructions] Please standby we compile the Q&A roster. And thank you, I'm not showing any further questions at this time. I would now like to turn the call back over to Scott Chouinard and art for any further remarks.
Scott Chouinard: Thank you. I want to thank everyone for joining us on the call today. And we look forward to updating everyone on our progress during our third quarter call. Thank you.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.